Operator: Ladies and gentlemen, thank you for standing by. Welcome to the SBA 2017 First Quarter Results Conference Call. At this time, everyone joining by phone is in a listen-only or muted mode. And then, later, we'll conduct a question-and-answer session. Instructions will be given at that time. As a reminder, the conference is being recorded. I'll now turn the meeting over to our host, Mr. Mark DeRussy, Vice President of Finance. Please go ahead, sir.
Mark C. DeRussy - SBA Communications Corp.: Good evening, and thank you for joining us for SBA's first quarter 2017 earnings conference call. Here with me today are Jeff Stoops, our President and Chief Executive Officer; and Brendan Cavanagh, our Chief Financial Officer. Some of the information we will discuss on this call is forward-looking, including, but not limited to any guidance for 2017 and beyond. In today's press release and in our SEC filings, we detail material risks that may cause our future results to differ from our expectations. Our statements are as of today, May 1, and we have no obligation to update any forward-looking statements we may make. In addition, our comments will include non-GAAP financial measures and other key operating metrics. The reconciliation of and other information regarding these items can be found in our Supplemental Financial Data package, which is located on the landing page of our Investor Relations website. With that, I will turn it over to Brendan to comment on our first quarter results.
Brendan Thomas Cavanagh - SBA Communications Corp.: Thank you, Mark. Good evening. The company had another strong financial performance in the first quarter. Our steady performance was once again primarily driven by solid operational performance on the leasing side of our business. Total GAAP site leasing revenues for the first quarter were $397.6 million, and cash site leasing revenues were $393.6 million. Better-than-expected foreign exchange rate positively impacted leasing revenue by approximately $1 million, relative to the company's prior expectations for the first quarter. Same tower recurring cash leasing revenue growth for the first quarter was 4.4% over the first quarter of 2016. On a gross basis, the same tower growth was 7.5%. The net same tower growth calculation was negatively impacted by approximately 3.1% of churn. Domestic same tower recurring cash leasing revenue growth, over the first quarter of last year, was 7% on a gross basis and 3.6% on a net basis excluding 3.4% of churn, almost three quarters of which was related to Metro, Leap and Clearwire terminations. Internationally, on a constant currency basis, gross same tower cash leasing revenue growth was 10.8%, exclusive of 50 basis points of churn. Gross organic growth in Brazil was 10.7%. Domestic operational leasing activity in the quarter was slightly ahead of 2016 levels. Approximately 60% of incremental domestic leasing revenue added came from amendments, and the big four carriers represented 88% of total incremental domestic leasing revenue added during the quarter. International leasing activity was consistent with 2016 average levels, with solid contributions from all of our markets. During the first quarter, cash site leasing revenue, denominated in currencies other than U.S. dollars, was 13.4% of total cash site leasing revenue, the substantial majority of which was from Brazil, with Brazil representing 12.6% of all cash site leasing revenues during the quarter and 8.8% of cash site leasing revenue excluding revenues from pass-through expenses. With regard to first quarter churn, we continue to see churn from leases with Metro, Leap and Clearwire, consistent with our expectations. As of March 31, we have approximately $33 million of annual recurring run rate revenue or less than 2.1% of current total leasing revenue from leases with Metro, Leap and Clearwire, that we ultimately expect to churn off over the next three years. That's down from $38 million a quarter ago and $50 million at September 30. Domestic churn in the first quarter from all other tenants on an annual same tower basis was less than 1%. We continue to expect domestic same tower churn rate to be in the mid-2% range by the end of the year. The total amount of churn continues to be as expected and is not anticipated to impact our long-term goal of producing $10 or more of AFFO per share in 2020. Tower cash flow for the first quarter was $312.3 million. Better-than-expected foreign exchange rates positively impacted tower cash flow by approximately $0.6 million relative to prior expectations. We continue to have success controlling the direct cost associated with our towers, allowing us to continue to have the strongest operating margins in the industry. Domestic tower cash flow margin was 81.9% in the quarter, and international tower cash flow margin was 68%. Adjusted EBITDA in the first quarter was $292.2 million. Foreign exchange rates positively impacted adjusted EBITDA by approximately $0.5 million relative to our expectations. Our strong adjusted EBITDA results in the quarter were due to solid results from both our leasing and services businesses. SG&A for the quarter was generally in line with expectations, but up year-over-year due in part to increased costs related to the Oi bankruptcy and other one-time legal costs. Adjusted EBITDA margin was 69.7% in the quarter, compared to 70.3% in the year earlier period. Approximately 99% of our total adjusted EBITDA was attributable to our tower leasing business in the first quarter. AFFO in the first quarter was $206.3 million, which amount was positively impacted by approximately $0.6 million relative to prior expectations due to stronger foreign exchange rates. Our industry-leading AFFO per share increased 16.6% to $1.69. Excluding the positive year-over-year impact of changes in foreign currency exchange rates, AFFO per share increased 13.1% over the year earlier period. We continue to selectively deploy capital towards portfolio growth. In the first quarter, we acquired 90 communication sites for $28.2 million in cash. We also built 58 sites during the first quarter. As of today, we have closed, subsequent to quarter end or have under contract, the acquisition of 181 additional communication sites at an aggregate purchase price of $115.2 million. The sites purchased and built in the first quarter, as well as these additional sites, are located in both domestic and international markets. We continue to invest in the land under our sites, as this is both strategically beneficial and almost always immediately accretive. During the quarter, we spent an aggregate of $15.9 million to buy land and easements and to extend ground lease terms. At the end of the quarter, we owned or controlled for more than 20 years the land underneath approximately 72% of our towers. And the average remaining life under our ground leases, including renewal options under our control, is approximately 33 years. Looking forward, our earnings press release includes our updated outlook for full-year 2017. We've increased the midpoint of our guidance ranges for site leasing revenue by $12 million, tower cash flow by $11 million, and adjusted EBITDA by $10 million. These increases were due to a variety of factors, including: actual first quarter results, revised expectations around forward FX rates, and the impact of acquisitions put under contract since our fourth quarter earnings release. Our updated guidance assumes continued steady operational leasing activity during the remainder of 2017, consistent with the assumptions we made when providing our initial 2017 guidance in February. We've also increased our outlook for AFFO by $7 million at the midpoint, and AFFO per share by $0.04 at the midpoint. The increase in AFFO guidance is due to our higher expected adjusted EBITDA, offset by higher expected net cash interest expense. The increase in net cash interest expense is primarily as a result of our recently closed $760 million securitization financing, which was done at attractive fixed pricing, as well as applying the increased forward LIBOR curve to our interest projections for our floating rate debt. In addition, the recent increase in our share price has resulted in a small increase to our projected weighted average number of diluted shares, negatively impacting our outlook for AFFO per share by approximately $0.02. The updated outlook does not assume any impact from potential acquisitions not under contract as of today, and it does not assume any impact from new financings or repurchases of the company's stock, other than those that have been completed as of today. Although we did not repurchase any shares of our outstanding common stock since our last earnings release, share repurchases have been and, we expect, will remain a critical component of our capital allocation strategy. Our approach to share repurchases remains opportunistic and balanced against portfolio growth. Because we are constantly evaluating potential investments in new asset portfolios, at times we will preserve our liquidity for these potential investments. Such was the case during the first quarter after a big fourth quarter for stock repurchases, but we expect to repurchase additional shares during the remainder of this year. With that, I will turn things over to Mark, who'll provide an update on our liquidity position and balance sheet.
Mark C. DeRussy - SBA Communications Corp.: Thanks, Brendan. SBA ended the quarter with $8.6 billion of net debt. And our net debt to annualized adjusted EBITDA leverage ratio was 7.4 times, within our targeted range of 7 times to 7.5 times. Our first quarter net cash interest coverage ratio of adjusted EBITDA to net cash interest expense was 3.9 times. We ended the quarter with $280 million outstanding under our $1 billion revolver, and we have $90 million outstanding as of today. At quarter-end, the weighted average coupon of our outstanding debt was 3.5% and our weighted average maturity was approximately 4.5 years. On April 17, we issued, through our existing Tower Trust, $760 million of Secured Tower Revenue Securities, which have an anticipated repayment date of April 11, 2022, and a final maturity date of April 9, 2047. The fixed interest rate on the securities is 3.168%. Net proceeds from the offering were used to prepay our $610 million of 2012-1C Tower Securities, which carried an interest rate of 2.933%, as well as accrued and unpaid interest and also for general corporate purposes. As mentioned with our last earnings release on January 12, 2007 (sic) [2017] (12:27), our board of directors approved the authorization of a new $1 billion stock repurchase plan, replacing the prior plan which had a remaining authorization of $150 million. The new plan authorizes the company to repurchase outstanding common stock from time to time at management's discretion and has no time deadline. The full $1 billion is currently available under the new plan. Quarter-end shares outstanding were 121.3 million, down from 125.5 million a year earlier. We're very pleased with our capital structure and believe it maximizes our ability to drive AFFO per share growth. As demonstrated by our recent securitization transaction, SBA continues to be a preferred issuer in the debt markets. With that, I'll now turn the call over to Jeff.
Jeffrey A. Stoops - SBA Communications Corp.: Thanks, Mark, and good evening, everyone. As you heard from Brendan earlier, we had a very solid start to 2017. A steady demand environment with our customers and strong operational execution not only drove good first quarter results, but also give us increased confidence for a solid 2017 and achieving our goals at least $10 in AFFO per share by 2020. In the first quarter, we posted a very strong 17% year-over-year growth in AFFO per share. Our positive results in the quarter, combined with adjusted expectations for improved foreign exchange rates, have allowed us to increase our full-year 2017 guidance. Even more exciting than the guidance increase is the positive demand backdrop that is developing, which is very encouraging for our long-term goals. In the U.S., operational customer activity, measured as the amount of newly contracted cash revenue per tower, was up slightly from the prior quarter primarily due to an increase in the number of new leases signed, but with the majority of new business still coming in the form of amendments. Organic leasing activity in the quarter remained primarily from the refarming of 2G and 3G spectrum to LTE, as well as some AWS-1 and 700 megahertz deployments. Internationally, we had another steady quarter of operational leasing activity. This activity was approximately 70% from new leases and 30% from amendments in the first quarter. We again had strong contributions from all of our markets, including Brazil, where we continue to see steady results. In addition, Oi remains current with their post-petition rental payments. And we continue to expect all of our Oi leases to remain current as Oi continues to work towards a judicial reorganization. Looking ahead, we continue to feel very good about the environment in which we're operating. Our customers have many things to accomplish over the coming years. Deployments of AWS-3, WCS and 2.5 gigahertz spectrum will all be drivers of future organic leasing activity. In addition, the 600 megahertz option has just wrapped up and the rollout of this spectrum will be another driver of leasing growth over the next few years. Also, since our last earnings call, our largest customer, AT&T, was awarded the FirstNet contract. AT&T, on their recent earnings call, was very clear on all the network deployment coming down the road now that FirstNet has been awarded. While the details as to the specific implications to SBA of this rollout are evolving at this time and we do not anticipate any impact to 2017 financial results, we expect this important nationwide build-out to be a positive contributor to SBA's growth for the next several years. All of the items I mentioned will require a new equipment to be installed at existing and possibly new macro sites, supporting continued steady organic growth. On the expense side, we continue to execute well, driving increased efficiency and cost reductions throughout our organization, as well as continuing to reduce land costs through our active ground lease buyout program. As a result, we remain the industry leaders in tower cash flow and adjusted EBITDA margins, notwithstanding that we are the smallest of the three U.S. public tower companies. These are metrics that we are very proud of. With regard to capital allocation and balance sheet optimization, our approach remains consistent with the strategy we have previously defined. We ended the quarter with 7.4 times net debt to annualized adjusted EBITDA, within our target range of 7.0 times to 7.5 times. During the quarter, we allocated capital to portfolio growth, adding sites through both new tower builds and acquisitions. This portfolio growth was in both domestic and international markets. Over the last few months, we've been very active in assessing a wide array of portfolio growth opportunities in many different countries. As I've said in the past, there is no shortage of portfolio growth opportunities. We're just hyper-focused on returns and remain committed to allocating capital to the highest return option available to us. It remains our goal and expectation that we will grow our portfolio by 5% to 10% this year, with majority of this growth likely to come internationally. That range of portfolio growth will allow us to continue to be very selective and pick our spots in a global environment of very high bids for tower assets. It will also keep us as a predominantly U.S. macro tower company, which we think is a very good place to be for the next several years. Finally, by staying within that range for portfolio growth, we will have additional capital available for stock repurchase. Share purchases continue to be the benchmark against which all other capital allocation decisions are measured. Our access to debt capital remains very healthy. We recently completed another new financing, locking an attractively priced fixed coupon debt. All of the debt markets we currently finance in remain very open to us for incremental low-cost funds. Our ability to efficiently use our stable cash flows to routinely access secured debt markets optimizes our cost of capital. Our first quarter interest coverage ratio was an extremely healthy 3.9 times. In addition, our liquidity through cash on hand and our $1 billion revolver provides tremendous flexibility and security. We will continue to use our balance sheet to drive increased returns for our shareholders. SBA continues to be a strong performer in a tremendous industry. We continue to have the highest quality assets and produce the highest operating margins in the industry. Continued growth in mobile wireless data demand and the significant network needs of our customers create an environment right for future organic growth. We have tremendous access to capital in order to grow our portfolio and buy back our stock. We are very well-positioned to achieve our goal of at least $10 of AFFO per share by 2020, and we are excited about the opportunities ahead of us. In closing, I'd like to recognize the many contributions of our employees, whose commitment and dedication make our company what it is. We look forward to a successful remainder of 2017. Laurie, with that, we are now ready for questions.
Operator: Thank you. And our first question from the line of Jonathan Atkin with RBC Capital. Please go ahead.
Jonathan Atkin - RBC Capital Markets LLC: Thanks. So I wondered if you could comment a little bit about the pace of leasing and any changes you're seeing from among your top four national customers? And then, with respect to the $10 per share guidance for 2020, I think in the past you've indicated that's based on current drivers. But I wondered what types of acceleration one might begin to contemplate above that target as FirstNet and 600 megahertz start to ramp? Thanks.
Jeffrey A. Stoops - SBA Communications Corp.: Yeah. I don't want to get into specific customer by customer detail, Jonathan, about who's up and who's flat. So I would just as soon leave it at that. In terms of the – and obviously, hopefully, we made it clear this was though in the domestic market and there was a pickup in the aggregate from the four domestic carriers. In terms of what else can help, the 10/20 – I mean obviously organic leasing activity picking up from last year's levels, which is off of which that long-term projection was made, would have a positive effect. Interest rates, currency – not so much M&A necessarily unless it's very cheap or stock repurchases, because we do assume in the model fairly full levels of investment, at least all the way through 2019. So I would say it's really those first three items that I pointed out that could have the most variability on the $10 per share.
Jonathan Atkin - RBC Capital Markets LLC: And I'm just interested in, as one thinks about site-level Union economics and the contributions that one could see from some of these low-band projects, any kind of initial thoughts as to what that might mean in terms of, say, amendment revenues on your portfolio?
Jeffrey A. Stoops - SBA Communications Corp.: Well, we're clearly going to get a fair amount of amendment revenue. I can't size it for you just yet. But given the nature of our portfolio, which is primarily non-urban, more suburban and rural, the 600 megahertz, particularly in the hands of T-Mobile, I think will be a great source of new business for us.
Jonathan Atkin - RBC Capital Markets LLC: Thank you.
Operator: And we have a question from Simon Flannery with Morgan Stanley. Please go ahead.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thank you very much. So, Jeff, in the context of the leasing activity and the future discussions, can you just update us on the pricing discussions that you're having? Obviously, some of the carriers have been vocal about their desire to get better terms, better escalators, et cetera. So how is that trending? And perhaps related to that is, can you update us on your lease terms with the various carriers and any opportunity to extend those lease terms? Thanks.
Jeffrey A. Stoops - SBA Communications Corp.: Yeah. In terms of lease pricing, while we don't have any binding contracts with our customers that set pricing, we actually, Simon, have a fairly consistent and predictable pricing structure with all of our clients or whatever it is that they're seeking to do. Now that will evolve as we see more of FirstNet and the 600 megahertz, those specs are not entirely baked yet at this point. But when they do become baked, we will have a price and that price will be very predictable and very consistent. And that's, frankly, the way we've been dealing with our customers for many, many, many years. I am sorry...
Brendan Thomas Cavanagh - SBA Communications Corp.: Terms, lease terms.
Jeffrey A. Stoops - SBA Communications Corp.: The lease terms.
Brendan Thomas Cavanagh - SBA Communications Corp.: Most of leases are typically five years in length. Some are sometimes 10 years. So we don't have any that go out farther than that. So generally on average they are in the 3-ish year range domestically.
Jeffrey A. Stoops - SBA Communications Corp.: Yeah. Now, we still have some time remaining on our old MLAs with T-Mobile and Sprint, which extend that, I believe, four or five years. But not ever having an MLA with AT&T and Verizon, Simon, those are going to average two-and-a-half to three years, which is the constantly rolling over of a series of five-year leases.
Simon Flannery - Morgan Stanley & Co. LLC: Great. So the escalators you assume in your guidance are pretty consistent to what we've seen in the past?
Jeffrey A. Stoops - SBA Communications Corp.: Yes. We're assuming no change in our historical – well, our current escalator that has been essentially in place now for many years...
Brendan Thomas Cavanagh - SBA Communications Corp.: Domestically, of course.
Jeffrey A. Stoops - SBA Communications Corp.: ...domestically, domestically. Yeah. Obviously, it changes internationally where the escalators are based predominantly on CPI.
Simon Flannery - Morgan Stanley & Co. LLC: And I guess, Brazilian inflation is coming down a bit?
Jeffrey A. Stoops - SBA Communications Corp.: It is, yeah.
Simon Flannery - Morgan Stanley & Co. LLC: Okay. Thank you.
Operator: And we'll go to David Barden with Bank of America. Please go ahead.
David Barden - Bank of America Merrill Lynch: Hey, guys. Thanks for taking the questions. Maybe I just follow up quick, Brendan, on the buyback. I guess, obviously we saw the new authorization, the stock's really run up from kind of $105 to $125. And I'm wondering if now where the stock is has kind of raised the ceiling and thus lowered the bar for your ability to kind of go out and make good on the 5% to 10% portfolio growth, because although you say confidently you do want to buy back stock, it seems like it would be a lot less attractive to be buying back stock here as opposed to kind of all quarter long. So if you could kind of walk us through how it makes sense to be buying back stock now as opposed to earlier versus the portfolio trade-offs would be kind of helpful. And then just a housekeeping item. I know it's super small, but it looks like there is a new line item in the AFFO calculated to an unconsolidated subsidiary. If you could just elaborate on that a little bit, it would be helpful. Thanks.
Brendan Thomas Cavanagh - SBA Communications Corp.: Sure. Okay. Yeah, I mean, we still think buybacks are very attractive now for a variety of reasons. One, when you look at our value relative to what we believe intrinsic value to be, it's still a very attractive purchase. The fact that we didn't buy any during the first quarter was driven more by, as we mentioned in our prepared comments, by opportunities for potential portfolio growth that we were evaluating. And in order to preserve liquidity for those potential opportunities, we did hold back on some of the buybacks. But we fully expect to be buying more shares as the year goes on, and we think it's still a very attractive value. And even relative to other companies and where they're valued at, ours is actually I think still arguably a very good buy. So...
David Barden - Bank of America Merrill Lynch: Could I follow-up on that, Brendan?
Brendan Thomas Cavanagh - SBA Communications Corp.: Yeah.
David Barden - Bank of America Merrill Lynch: Have those opportunities that kind of put the buybacks on hold, have those kind of evaporated away or are we still in evaluation mode right now?
Brendan Thomas Cavanagh - SBA Communications Corp.: No. Well, there's a mix. Some have gone away and others remain. So I think, going forward, you will see a mix of both buybacks and portfolio growth.
David Barden - Bank of America Merrill Lynch: Got it.
Brendan Thomas Cavanagh - SBA Communications Corp.: Okay. And then your other question was on the item in the AFFO. It's a small item. We did add a line that is related to some very small joint ventures that have begun generating contributions to AFFO. These are basically startup JVs. They wouldn't have contributed – hardly anything in the past, so that's why they weren't there before. But they're immaterial items that we're sort of exploring right now. They're totally related to the tower business though. But beyond that, we don't really want to comment for competitive reasons.
David Barden - Bank of America Merrill Lynch: Okay. Interesting. Thanks, guys.
Brendan Thomas Cavanagh - SBA Communications Corp.: Yes.
Operator: And we'll go next to Amir Rozwadowski with Barclays. Your line is open.
Amir Rozwadowski - Barclays Capital, Inc.: Thank you very much and good afternoon, folks.
Jeffrey A. Stoops - SBA Communications Corp.: Hey, Amir.
Amir Rozwadowski - Barclays Capital, Inc.: I wanted to follow up on sort of – couple of questions around the demand environment. Just in terms of the first quarter demand environment, you had mentioned slightly better and a pickup within the domestic market amongst all four carriers. I was wondering if you could give us some clarity in terms of where that demand is coming from. New spectrum deployment largely driving that, is there any increase in co-location activity? That'd be helpful. And then I've got a brief follow-up.
Jeffrey A. Stoops - SBA Communications Corp.: Yeah. Co-los are up relative to where they were probably through most of 2016. I hope we didn't imply or say that all four U.S. carriers were up, because that was not the case. In the aggregate, they were up, but it was not consistent as to where that increase came from. And I'm really not going to get into the specifics of who, what and where. But, in general, it was – so on the co-los, it was some new AWS-3 and 700 megahertz and in other cases, it was also just capacity needs. And I guess, believe it or not, there's still some coverage needs out there as well.
Amir Rozwadowski - Barclays Capital, Inc.: Excellent. That's helpful. And then if we're thinking about sort of that growth curve to the $10 target, you had talked about some of those incremental opportunities that are out there at the moment that you're still getting clarification on. But if we think about them as incremental opportunities and we layer in some of the churn reduction expectations that you guys have factored in, it does seem as though that there is a propensity to potentially drive up sort of that AFFO growth off of current levels right now. Is that a fair assumption to be thinking about?
Jeffrey A. Stoops - SBA Communications Corp.: Well, I think the building blocks to allow that to occur are in place, and we're pleased about that. But certain things have to happen. But I think we're well-positioned to see all that through.
Amir Rozwadowski - Barclays Capital, Inc.: Excellent. Thanks very much for the incremental color.
Operator: Thank you. We'll go next to Phil Cusick with JPMorgan. Please go ahead.
Philip A. Cusick - JPMorgan Securities LLC: Hey, guys. Two, if I can. Unsurprisingly, limited upside to domestic guidance at this point in the year, but you sound optimistic on activity overall. We're hearing about some real activity ramping up with other turf vendors. Can we also think that you're optimistic about upside to site development revenue going forward this year, and shouldn't that come through faster than any kind of change in services revenue? And then a separate topic, can you just update us on the situation with Oi? I know you're current, but any update on the reorganization that you're hearing? Thank you.
Jeffrey A. Stoops - SBA Communications Corp.: Yeah. The site development work does have opportunity for upside, particularly depending on most importantly when the 600 megahertz deployments from T-Mobile start and when the FirstNet, which will now include some AWS-3 and WCS spectrum from AT&T, commences. But you're right, Phil, that's really the first line of recognition. In terms of Oi, Oi continues to work through submitting. And kind of like a tennis ball bouncing over the net, there is a plan that gets proposed by the company and then there is creditor feedback. Creditors in Brazil do not have the ability to submit their own plan, but they do have the ability to comment and provide guidance to whatever current plan management has submitted. Probably the most recent development, which gives us further comfort that all of this will turn out just fine to actually better than the way it used to be, is the government has made several statements about stepping in if they think that in any way the basic Oi service and the impact on consumers would be detrimental. And they have that ability to do that. So at the end of the day, that may be the catalyst that brings this to a resolution and basically moots whatever plan the current shareholders seem to be putting forward.
Philip A. Cusick - JPMorgan Securities LLC: Okay. Thanks, Jeff.
Operator: Okay. And we'll go next to Matthew Niknam with Deutsche Bank. Your line is open.
Matthew Niknam - Deutsche Bank Securities, Inc.: Hey, guys. Thank you for taking the questions. Just two, if I could. One on the topic of portfolio growth, you just talked about evaluating other opportunities. Can you give us an update on the types of evaluations you've seen in the private market? And then, just as a follow-on to that, did you think about inorganic options. Is it safe to assume macro sites are still the preferred investment or has your view changed at all on small cells given the demand pipeline some of your peers have talked about? Thanks.
Jeffrey A. Stoops - SBA Communications Corp.: Yeah. The prices vary, Matt, and there's still a lot of mid to high-20 times multiples being paid for U.S. tower assets that frankly we know they're not as good as what we own. The blend of what we have under contract and what we've done is the high-teens tower cash flow multiple, which we're happy with. But I also think that's going to be somewhat limiting in terms of our ability to buy everything, because there is a very high bid out there, as I mentioned, for both domestic and U.S. tower assets. So we're doing what we've done for close to 20 years now, which is buy things in smaller packages, use our long-term relationships in history to find things that others can't and really work hard to find the best assets for the best price. We continue to be focused on macro sites. I mean, you used the word small cells, but really what small cells is, is fiber. And our shareholders want us to be a tower company. So we are very much focused on that. We will continue to look at exclusive pieces of real property where we might have some advantages that could lead to small cells, but to move into the fiber business is not something that we're pursuing today.
Matthew Niknam - Deutsche Bank Securities, Inc.: Understood. And if I could just follow-up on the portfolio growth, it sounded before like you feel pretty confident in getting back to that 5% to 10% portfolio growth target. So just given the valuations that you're seeing out there in terms of private market portfolio, is that still the case that you think you can get back to that 5% portfolio growth for this year?
Jeffrey A. Stoops - SBA Communications Corp.: I do.
Matthew Niknam - Deutsche Bank Securities, Inc.: Got it. Thanks.
Operator: Thank you. We'll go next to Colby Synesael with Cowen and Company. Please go ahead.
Colby Synesael - Cowen & Co. LLC: Great. Maybe just a few questions for Brendan. You mentioned legal costs in the first quarter. I was wondering if you could just break those out? Secondly, can you just provide to us what the additional upside would be using today's FX spot rate as opposed to what's in your guidance? And then, lastly, can you just remind us what the incremental investment capacity is for the remainder of the year relative to your target leverage? Thanks.
Brendan Thomas Cavanagh - SBA Communications Corp.: Yeah. The legal costs that I mentioned were really just to highlight that we actually had some one-time items that had to do with specific litigation, and that's why we had a little bit of a spike in SG&A. It's in the $300,000 to $400,000 range. But it's an item though we don't expect to repeat. There is nothing otherwise special about it. As it relates to the FX impact, basically for every $0.05 change in the Brazilian to U.S. dollar exchange rate beyond what we have assumed in our guidance, you would have about a $2.5 million change in the revenue line for the balance of the year. And it would be a $1.5 million approximately down to the EBITDA and AFFO lines. So if you take where we are today, we're roughly about $0.10 difference from where the actual spot rates are versus our projection. So basically twice those amounts would be the impact. And then, do you want to -
Jeffrey A. Stoops - SBA Communications Corp.: Capacity, on a look forward 12-month basis is in excess of $1 billion. I mean, you look at the AFFO projections, you look at where we would take leverage at 7.5 – or where we could leverage additional EBITDA growth at 7.5 times and I think you get to well above that number.
Colby Synesael - Cowen & Co. LLC: Okay. Just to follow-up on that, Jeff. Even if I look at you getting to your 5% portfolio growth just based on rough averages of what you're paying, it's still implied that there would be, quite frankly, a significant buyback likely some point between now and the end of the year. Is that a fair way of thinking about it or am I missing something?
Jeffrey A. Stoops - SBA Communications Corp.: If all we do is 5% on the portfolio growth, you're right.
Colby Synesael - Cowen & Co. LLC: Okay. Thank you.
Jeffrey A. Stoops - SBA Communications Corp.: Our intent – I mean I can't tell you today which of those two it's going to be, but I can tell you we're going to stay at the high-end of our target leverage range. And then, the math kind of falls out from there depending on whether you spend it on portfolio growth or stock repurchases. So...
Colby Synesael - Cowen & Co. LLC: So do you think you're going to be at the 7.5 times versus 7 times by, call it, year end?
Jeffrey A. Stoops - SBA Communications Corp.: Yeah. I don't think we're looking to bring leverage down in this environment. I think we're looking to stay exactly where we've been in the last couple years.
Colby Synesael - Cowen & Co. LLC: Great. Thank you.
Operator: And we'll go next to Amy Yong with Macquarie. Your line is open.
Amy Yong - Macquarie Capital (USA), Inc.: Hi, thanks. So two questions, just following up on the portfolio strategy. Should we assume, given the commentary, that what you're looking at is all on the LatAm side? And then, secondly, can you talk about – I know this is small – but how much the newly acquired sites would add to revenue and AFFO? Thank you.
Jeffrey A. Stoops - SBA Communications Corp.: Well, I don't know that we can give you an exact number on that, but I think you could back into it by using a high-teens tower cash flow multiple against the purchase price for those assets, and there you'll have your TCF number. And in terms of the...
Brendan Thomas Cavanagh - SBA Communications Corp.: Well, we – if you look at – there is a bridge that we've included in our Supplemental package, which has our bridge of revenue growth. And you can see how much is being contributed by non-organic sources, which is primarily acquisitions, also includes new builds. Since the last earnings release that we did in February, we've increased the amount being contributed to revenue from those items by $5 million. That basically represents acquisitions that have been put under contract or closed since then that weren't under contract at the time that we gave that guidance. So we don't give projections for anything we don't have under contract though.
Jeffrey A. Stoops - SBA Communications Corp.: And in terms of our appetite, it's going to remain predominantly, if not exclusively, in the western hemisphere.
Amy Yong - Macquarie Capital (USA), Inc.: Got it. Thank you.
Operator: And we have a question from Nick Del Deo with MoffettNathanson. Your line is open.
Nicholas Del Deo - MoffettNathanson LLC: Hi, thanks for taking my question. As the carriers have talked about deploying AWS-3 on antenna that also support AWS-3, which makes sense since they're adjacent bands, and also deploying 600 megahertz on combined 600 megahertz, 700 megahertz antennas. Assuming they go that route, and those bands, can it be deployed with more antenna swaps rather than new antenna raise. How is that going to affect the degree to which you can monetize their deployments relative to the past deployments? And I know you guys are careful about including equipment schedules in your leases to protect against that stuff. Can you tell us about what share your leases have to those schedules?
Jeffrey A. Stoops - SBA Communications Corp.: Well, pretty much a 100%, other than some legacy leases that we picked up when we bought the mobility portfolio, where T-Mobile has some broader equipment rights. But beyond those 2,000 sites for that particular customer, everything, Nick, is equipment-specific. What will actually drive the answer to that question is, does the swap bring with it any increase in weight or size, weight or wind load, in which event we will surely most likely monetize that. And then the next question is, if it does not come – and we think it'd be very few and far between where the scenario that you painted does not bring about some increase in weight or wind load, but assume that it does. Then, we will look at the specifics of that site where it is, what the customer's already paying, and we may allow that to occur for free. I've talked for a year plus now about how we kind of manage our relationship with our customers. And while we do have the legal right to charge for every change-out, whether it increases the load or not, we sometimes don't do that just because we continue to be good partners.
Nicholas Del Deo - MoffettNathanson LLC: Okay. That's helpful. And maybe one more. You've been decommissioning about 50 towers a quarter in the U.S. over the last several years. So that was originally related to iDEN decommissioning, just some single-tenant sites. But how much longer that has to run before the decommissioning just go back to a more – to a smaller number?
Brendan Thomas Cavanagh - SBA Communications Corp.: Yeah. I think you'll see them start to come down in the not too distant future. But it's not just iDEN, it also does include some sites that are naked that used to have Metro or other – or Clearwire, other ones that are related to consolidation related terminations. So depending on our evaluation of those particular sites and how comfortable we are as to whether or not they'll be able to add incremental revenues. In some cases, we feel it's a better decision to save on the costs and to decommission the tower. So it has been a little bit higher recently. But I think as we get a year or so out, you'll start to see that come down.
Nicholas Del Deo - MoffettNathanson LLC: Okay. Great. Thanks, guys.
Operator: Thank you. And our next question from Walt Piecyk with BTIG. Please go ahead.
Walter Piecyk - BTIG LLC: Thanks. The $42 million on slide 4, can I assume that does not include any FirstNet, 600 megahertz, WCS, et cetera?
Brendan Thomas Cavanagh - SBA Communications Corp.: Correct. That's correct.
Walter Piecyk - BTIG LLC: Roger that. The Comcast won 600 megahertz, have you heard from them yet?
Jeffrey A. Stoops - SBA Communications Corp.: Brief conversations, nothing that would cause us to change any of our outlook.
Walter Piecyk - BTIG LLC: Check. And then, lastly, there was one operator that was really talking of wireless backhaul. I am wondering if you've seen any activity anywhere in the market with regard to wireless backhaul, maybe even some aggregation pointing in your own towers.
Jeffrey A. Stoops - SBA Communications Corp.: Yeah. We've seen a fair smattering of dishes, microwave dishes. It's still...
Walter Piecyk - BTIG LLC: Not microwave, I was thinking more of 2.5 wave.
Jeffrey A. Stoops - SBA Communications Corp.: That is we think still yet to break out.
Walter Piecyk - BTIG LLC: Imagine that... All right, great. Thank you very much.
Operator: And we go next to Brett Feldman with Goldman Sachs. Please go ahead.
Brett Feldman - Goldman Sachs & Co.: Thanks for taking the question. You, in the past, haven't used MLAs or holistic agreements as much as some of the other operators. And when you've done it, and correct me if I'm wrong, but you've done it usually because there was some degree of complexity associated with activities at that operator and it felt like an efficient way of dealing with it. I'm curious whether you think that FirstNet or any of the other projects that we've been talking about could potentially fall into that complex bucket. And if so, could you just sort of remind us ultimately what are you looking for out of a holistic agreement to sort of be at a point of indifference as to whether you'd do that or do everything à la carte?
Jeffrey A. Stoops - SBA Communications Corp.: We would basically, Brett, be looking for equipment specificity, and that was really the key component of the couple of MLAs that we did do. I mean, we have no trouble agreeing to things like escalators and prices for certain specs. And it's where there is some lack of specificity about what someone may be able to do on the tower within a certain space on the tower that is something that philosophically we have never agreed to.
Brett Feldman - Goldman Sachs & Co.: And so, in terms of...
Jeffrey A. Stoops - SBA Communications Corp.: And most – well, you could possibly get to all of those specificities in any deployment.
Brett Feldman - Goldman Sachs & Co.: And I was also curious whether things like longer term revenue visibility matter. You're trying to get to over $10 a share of AFFO by a certain date, that relies in part on being able to continue to re-lever your balance sheet. Do you think that you can get better borrowing costs if you showed up and said, hey, I have this 10, 15, whatever year MLA, or do you think it sort of is irrelevant? And then just one other quick question. You mentioned that you are paying these high-teens multiples for portfolios. One of the stories that emerged over the last year or so is that some of the private operators were accepting lower escalators. Are you buying those towers?
Jeffrey A. Stoops - SBA Communications Corp.: We might have bought some with lower escalators. We would not have bought any that had non-specific equipment leases.
Brett Feldman - Goldman Sachs & Co.: Got it.
Jeffrey A. Stoops - SBA Communications Corp.: And what was the question...
Brett Feldman - Goldman Sachs & Co.: Just in terms of – does the ability to have longer term revenue visibility, particularly when you're trying to achieve a certain level of AFFO per share, does that help in terms of being able to access the credit markets or is that not a big factor in why you would do an MLA?
Jeffrey A. Stoops - SBA Communications Corp.: I mean, it's a slight positive, but you'd have to weigh that against what you're giving up. I mean, the way you account for the typical MLA, it really has a nice benefit in the first year and then it starts to not, depending on how it's structured, look so good once you lap that first year. So you have to kind of be careful about that. But, I mean, we have operated the business, Brett, ever since we started on the basis of trying to anticipate the level of activity that our customers are actually going to enjoy. And we've tried to not alter that to either someone's gain or loss through MLA contracts.
Brett Feldman - Goldman Sachs & Co.: Got it. Thank you.
Operator: Thank you. We go next to Spencer Kurn with New Street Research. Please go ahead.
Spencer H. Kurn - New Street Research LLP (US): Hey, guys. Thanks for taking the question. So you sound much more positive on, I guess, your backlog of activity and just general activity levels in the U.S., but your domestic guidance for new leasing activity only increased by $1 million. So I'm trying to understand, are you assuming that...
Jeffrey A. Stoops - SBA Communications Corp.: Let me help you with that.
Spencer H. Kurn - New Street Research LLP (US): Sure.
Jeffrey A. Stoops - SBA Communications Corp.: We're only going to increase our guidance based off of the results we just report, not on any prospective change in view.
Spencer H. Kurn - New Street Research LLP (US): Got it. So you're basically just baking in the outperformance in Q1, not really changing your assumptions for the next three quarters. Is that the right way to think about it?
Jeffrey A. Stoops - SBA Communications Corp.: Yes, it is.
Spencer H. Kurn - New Street Research LLP (US): Awesome. Thanks.
Operator: Thank you. We go next to Ric Prentiss with Raymond James. Please go ahead.
Ric H. Prentiss - Raymond James & Associates, Inc.: Hey, guys. Couple left on the list here. Lot of discussion on one-climb is coming up. AT&T talked about doing a one-climb to bring up three type of frequencies. Just today on their call, that we were on, talked about maybe working with incumbents and doing one-climb with either T-Mobile with broadcast or with AT&T and Verizon with their AWS-3. How does the one-climb concept work on the services side and on the leasing side, particularly if it's different people trying to share that one-climb?
Jeffrey A. Stoops - SBA Communications Corp.: It's got to be a long climb. You pay tower climbers by the day, they're typically hourly paid workers. And it's always going to be cheaper than two separate trips, because you've got mobilization costs and the basic time it takes to get up the tower. Once they're there, they can do more. So you would split the costs where it's obvious as to who the work is being done for. But there is going to be a substantial amount of services work and revenue that comes out of all this, but it will be more efficient. So I think you'll see more business to the folks who provide those services, and you'll also see lower per unit costs for our customers.
Ric H. Prentiss - Raymond James & Associates, Inc.: And then on the leasing side, if DISH were the one to climb up together with an AT&T or T-Mobile, how would you think about the rents then?
Jeffrey A. Stoops - SBA Communications Corp.: Well, they'd either be paying their own rent with a new co-lo or they would have had to have cut a deal with one of those similar to what was contemplated in the old Sprint-LightSquared way and what is likely to be contemplated with the AT&T-FirstNet deployment. You either have to commit under an existing tenancy or you have to create a new tenancy.
Ric H. Prentiss - Raymond James & Associates, Inc.: Makes sense. And I think last year you guys saw a little head fake maybe about lease applications not turning into executed applications, maybe a year plus ago now. Are you seeing any uptick in applications that haven't turned into executed and is your guidance based on executed or lease-out kind of flow?
Jeffrey A. Stoops - SBA Communications Corp.: The guidance is based on where we enjoyed the outperformance in Q1 and holding everything else the same. And we do remember that head fake, and that's not something we're going to repeat.
Ric H. Prentiss - Raymond James & Associates, Inc.: We appreciate it. Last question from me. On the SG&A, it was I think about $34 million in the quarter. Brendan, you mentioned may be less than $0.5 million out of run rate. So should we think $33 million is kind of more than normal, that was what we had I guess in fourth quarter as well as first quarter if we normalize out for that?
Brendan Thomas Cavanagh - SBA Communications Corp.: Yeah. That's probably right. I mean obviously there's FX impact there, Ric.
Ric H. Prentiss - Raymond James & Associates, Inc.: Okay.
Brendan Thomas Cavanagh - SBA Communications Corp.: And there's also a chunk of that that is non-cash related, such as non-cash comp. And so, when you look at it, the contribution to EBITDA isn't that full amount. But, yes, for the balance of the year anyway it should be relatively steady. Actually, let me back up on that for a second, because the first quarter is actually usually a touch higher because we do have elevated payroll taxes and things of that nature.
Jeffrey A. Stoops - SBA Communications Corp.: Yeah. It should be lower than that.
Brendan Thomas Cavanagh - SBA Communications Corp.: It'll probably be a little bit lower, but there are other items that tick up. So I think next quarter it'll actually be lower.
Ric H. Prentiss - Raymond James & Associates, Inc.: Okay. That makes sense. I was just trying to size it. And then speaking of size, the M&A deals that you avoided buyback since your last earnings call, but did some in the quarter, what sort of size portfolio should we think you guys are looking at. Is it the whole gamut, is it still looking in the $5 million to $50 million range or the $100 million to $200 million range. Just trying to size the portfolio question?
Jeffrey A. Stoops - SBA Communications Corp.: Yeah. It's really the gamut. There is a wide variety of opportunities and size transactions out there. And we probably will do better, at least our experience was, where we since secure these – the least the competitive bid process, the better pricing that we're going to get. And we're trying to get as many of those as we can.
Ric H. Prentiss - Raymond James & Associates, Inc.: Great. Appreciate it. And glad you guys aren't looking at head fakes this year. So that all makes me feel good. Thanks.
Operator: Thanks. We'll go to Mike Rollins with Citi. Please go ahead.
Michael I. Rollins - Citigroup Global Markets, Inc.: Thanks for taking the question. As you look internationally at LatAm operations, as it would seen some of the FX gyrations are settling down and maybe there is more clarity on an operating side. And how would you look at trying to get more scale for those operations through partnerships, maybe a divestiture or even considering new acquisitions? Thanks.
Jeffrey A. Stoops - SBA Communications Corp.: I mean all of what you just said, Mike, is true. We have an increasingly positive view on all parts of LatAm, and we would be open and looking to any of those opportunities. We'll be as creative and a smart around this as the opportunities present themselves.
Michael I. Rollins - Citigroup Global Markets, Inc.: Thanks very much.
Operator: Thank you. We'll go next to Jennifer Fritzsche with Wells Fargo. Your line is open.
Jennifer M. Fritzsche - Wells Fargo Securities LLC: Great. Jeff, thank you for taking the question. I just had a bigger picture question. As we look out into 5G architecture, I think most would say small cells and fiber and we touched on the fiber issue. But also macros, a case could be made macros become increasingly important as they really represent the core. And as more of the CRAM and those acronyms take shape that the macro tower with fiber lead back to it becomes all the more important. I guess, one, would you agree with that view? And then, secondly, as we look out five to seven years, do you see more pricing power coming for the macro owners because of that?
Jeffrey A. Stoops - SBA Communications Corp.: I do agree with that basic premise, Jennifer, and it's good to hear from you. Our portfolio is, as you well know, it's predominantly rural and suburban. And all the conversations around 5G and small cells has really pretty much been concentrated around the urban markets, where you can easily draw the picture of the millimeter wave spectrum and the fiber-fed units, that really doesn't have practical application outside of the urban market. So we are very confident that we are going to play a very critical role in 5G in the areas where we currently have towers. We don't expect for a minute, because it just simply won't work, as a service offering that 5G is limited to urban market. It will, of course, be rolled out to the suburban and urban markets just as all generations have been, and we will participate in that. And in terms of pricing power, I don't know that the G moniker necessarily increases or decreases the pricing power. I mean our business has always enjoyed, because of the exclusive nature of the assets, pricing power, which is why we are able to produce the margins that we have and the growth that we have. Now the object is to balance that against the needs and the health of our customers who we want to succeed to the greatest financial extent possible because with that financial success on their part, we think it all comes back to the network. So I agree with everything you said. And I think that as we move to 5G, it will really be just one more continuation of the course of dealings that we've had over the years.
Jennifer M. Fritzsche - Wells Fargo Securities LLC: Great. Thank you very much, Jeff.
Jeffrey A. Stoops - SBA Communications Corp.: Yeah.
Operator: Thank you. And I'll turn it back to our presenters for any closing remarks.
Jeffrey A. Stoops - SBA Communications Corp.: I want to thank everyone for joining us. And we look forward to our second quarter results call. Thank you very much.
Operator: Ladies and gentlemen, this will conclude our teleconference for today. Thank you for participation and for using AT&T Executive TeleConference Service. You may now disconnect.